Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Penn National Gaming 2017 First Quarter Conference Call. [Operator Instructions] As a reminder, this conference is being recorded, Thursday, April 27, 2017. I would now like to turn the conference over to Joe Jaffoni, Investor Relations. Please go ahead, sir. 
Joseph Jaffoni: Thanks, Kathy, and good morning, everyone. And thank you for joining Penn National Gaming's 2017 First Quarter Conference Call. We'll get to management's presentation and comments momentarily as well as your questions and answers, but first, I'll review the safe harbor disclosure. In addition to historical facts or statements of current conditions, today's conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, which involve risks and uncertainties. These statements could be identified by the use of forward-looking terminologies, such as expects, believes, estimates, projects, intends, plans, seeks, may, will, should or anticipate or the negative or other variations of these or similar words or by discussions of future events, strategies or risks and uncertainties, including future plans, strategies, performance, developments, acquisitions, capital expenditures and operating results. Such forward-looking statements reflect the company's current expectations and beliefs, but are not guarantees of future performance. As such, actual results may vary materially from expectations. The risks and uncertainties associated with the forward-looking statements are described in today's news announcement and the company's filings with the Securities and Exchange Commission, including the company's reports on Form 10-K and Form 10-Q. Penn National Gaming assumes no obligation to publicly update or revise any forward-looking statements. Today's call and webcast will also include non-GAAP financial measures within the meaning of SEC Regulation G. When required, reconciliation of all non-GAAP financial measures to the most directly comparable financial measures calculated and presented in accordance with GAAP can be found in today's press release as well as in the company's website. With that, I'll now turn the call over to company's CEO, Tim Wilmott. Tim? 
Timothy Wilmott: Thank you, Joe, and good morning to all who have joined us for our first quarter 2017 earnings conference call. With me here in our offices in Pennsylvania are our General Counsel, Carl Sottosanti; our Senior Vice President of Public Affairs, Eric Schippers; Penn's Treasurer, Justin Sebastiano; our Chief Financial Officer, B.J. Fair; and Chief Operating Officer, Jay Snowden. I'd like to begin by just characterizing our first quarter operating performance as very, very solid. I'm pleased to report that we exceeded our original guidance for the first quarter, EBITDA guidance by $17 million. And even our updated guidance by $4 million. That is exclusive of any cash-settled stock-based compensation charges. I'm also very pleased with the performance out in our operations. We continue to improve our EBITDA margins year-over-year. We increased it by 40 basis points. Just a little bit under 2 years ago, we got into new businesses, Penn Interactive Ventures and the VGT business in Illinois Prairie State Gaming. And through a number of tuck-in acquisitions over the past couple of years, we continue to show significant year-over-year growth in those 2 new business lines. Speaking of tuck-in acquisitions, I'm also pleased to report that late in the first quarter of this year, we announced a $44 million acquisition for 2 properties in Tunica, Mississippi, Bally's and Resorts, that we're getting at a very attractive multiple pre-synergy, it's under a 4 and we do expect synergies to take that number even lower. And the good news is we've made great progress with the Mississippi regulators, and we expect to close that transaction next Monday, May 1.
 I'd also like to highlight out in Las Vegas, Nevada, where we are with Tropicana. We are completing our Phase 1 $40 million capital program since we purchased the property just under 2 years ago. This summer, we're opening up Robert Irvine's Public House, an upscale tavern with 260 seats plus another quick service food concept, and I do want to reiterate that we are going to evaluate the impact of these new offerings before we commit any further capital to Tropicana Las Vegas, and we're very excited about having these 2 new offerings opening up in the third quarter of this year. 
 I'd like to summarize our current performance and where we are at this time, as we are into the second quarter of 2017. And our message of being a company that's generating a lot of strong cash flow is evident in our first quarter performance. We were able to delever, return capital to our shareholders and make smart accretive tuck-in acquisitions. With that, I'd like to turn the call over to Jay to give some perspective on property performance and some specific insights into Charles Town Jamul and what we're seeing with Las Vegas trends. 
Jay Snowden: Thanks, Tim. We're very pleased with our first quarter performance across the portfolio, which certainly showcased the power of our unique operating leverage. We exceeded guidance by over $17 million as Tim mentioned, due to revenue growth in several key markets and disciplined expense management resulting in an impressive flow-through story. EBITDA margins improved year-over-year in all 3 regions and at 2/3 of our properties. Of particular note, in Las Vegas we delivered strong results at both Tropicana Las Vegas and M Resort. Solid RevPAR growth year-over-year at both properties, along with a stronger casino database contribution at Tropicana resulted in both properties growing EBITDA year-over-year in the first quarter by over 20%.
 Moving to West Virginia, we continued to be very pleased with our results at Charles Town in the face of new supply at National Harbor in the Marketplace. Our slot and table game volumes are holding up better than initially anticipated. And while still early, we remain confident that these trends will indeed continue. 
 In San Diego, in March, we posted our strongest results since the opening month. April was also off to an encouraging start at Jamul as visitation and all key volume indicators are up significantly from where they were in the months of December and January. Our database is now over 120,000 strong, and we're pleased with where this property is currently trending. Transitioning to our database result in the first quarter, we saw a solid performance across most all geographies and worth groups with particular strength at the VIP segment. Visitation was a little more of a mixed bag market to market but spend per visit was very strong across the portfolio. Weather in the first quarter was mild and really a nonissue when you compare it to prior year. And the calendar certainly benefited from the Easter shift from March to April this year, but February we had 1 less day as everyone knows in 2017 versus 2016. Consumer confidence, employment, wages, home values all continued to move in the right direction, which should remain positive catalysts for our core customer. Before I hand it off to B.J. to cover second quarter guidance, I want to take a moment to recognize and thank our leaders across the organization for their tireless efforts, and for delivering what has been really another strong quarter of results. We're asked frequently by many of our investors and industry analysts if there is more room for margin improvement given we have long been the leaders in this category in regional gaming, or whether we have reached the point of diminishing returns. We look at that certainly as a challenge as an organization and are collectively working on a number of exciting initiatives right now that have me personally very optimistic about where we can take the margins and this company in the quarters and years to come. So with that, I'll hand it over to B.J. 
William Fair: Thanks, Jay. I just wanted to provide some updates on the 2017 financial guidance for the quarter and full year. Page 5 of the press release has all the details on it so obviously you can refer to that. Some of the highlights here on a full year basis. Revenue of $3.066 billion, adjusted EBITDA of $857.9 million and adjusted EBITDA after the Master Lease payments of $410.2 million. Q2 specifically, the revenue of $776.8 million, adjusted EBITDA of $219.9 million and adjusted EBITDA after Master Lease payments of $107.7 million. Cash on hand at the end of March was $259.5 million. As we said earlier, the guidance does not include any impact from the pending Bally's and Resorts Tunica acquisition, which will close next week. All of our debt covenants will be comfortably met. Our maintenance CapEx guidance remains at $78 million for the year, $31 million of which is expected in Q2. Project CapEx is expected to be $29 million for the year, $15 million of which is expected in Q2, and that does reflect pushing off any construction expenses of the Tropicana expansion into 2018. Cash taxes, there is no change to our guidance of a net refund of $40.6 million. Our Master Lease rent coverage ratio was $1.81 million as of the end of March. And at this time we do not expect to incur rent escalation at the conclusion of our lease year. Free cash flow generation at the end of the year is anticipated to be $310 million, and net free cash flow after mandatory payments and project CapEx is expected to be $202 million. I just wanted to briefly hit on a couple of other items that we were talking about during the quarter. One was the share repurchase program. As we previously announced, our Board of Directors authorized a share repurchase program in February. That was -- the program was a total of $100 million repurchase authorization and was valid for a 2-year period. In February, we repurchased 416,886 shares at an average price of $13.88 per share. I know some of you are overwhelmed by the number of shares that we have repurchased. But soon after we commenced the repurchase program, we began to give serious consideration to our intent to revise our guidance. And we are also actively involved in Tunica transaction. As much as we would like to continue repurchasing stock, we consulted counsel and determined we had material, nonpublic information and elected to cease trading in our own stock. And then as of March 1, our normal blackout period was in effect. Going forward, however, management will assess the appropriate uses of a strong free cash flow generated by our company to achieve our desired capital allocation objectives and in no specific order, those capital allocation objectives are a debt reduction, executing against the repurchase program when appropriate and taking advantage of tuck-in acquisitions and attractive growth opportunities. And as I said, they are not specifically in that order, so we will assess what the opportunities are as they come about. The last item I just briefly wanted to touch on was Jamul. And as Jay mentioned, we've been encouraged by the recent growth in the operating performance of Jamul. But I wanted to provide a brief update on the status of our loan at Jamul and the impact on Penn. Both the term loan B and the term loan C loans are current and are currently being fully serviced. We still anticipate that all or portion of our term loan C will become subordinated. And discussions have been initiated between the tribe and its lenders and it is the intent of all the parties to come to a timely resolution of the potential issues based upon the current financial performance of the facility. With that I'll turn it back to Tim. 
Timothy Wilmott: Thanks, Jay. Thank you, B.J. Operator, we're now ready to take any questions that the callers may have. 
Operator: [Operator Instructions] And our first question comes from the line of Steve Wieczynski from Stifel, Nicolaus. 
Steven Wieczynski: So I wanted to start in Vegas and the Trop. And I don't know if you can do this. But is there any way you guys can give us an idea how much the Trop benefited from during the quarter from the city's trends in regards to convention and group business, meaning did you guys get a lot of overflow traffic from neighboring properties? And then maybe how your RevPAR in Vegas kind of trended through the quarter? 
Jay Snowden: Sure, Steve. This is Jay. So actually I'm very pleased with our performance at Tropicana given that we have some pretty significant construction disruption taking place right now. Not sure if everyone knows, but pedestrian bridge between MGM and Tropicana has been under construction since late December and won't be completed until June. So we really have had no traffic at all coming over from the MGM throughout the first quarter. And right on that same corner, we're also under construction with the Robert Irvine restaurant that Tim covered earlier. So very pleased overall with the results. Certainly there is a benefit for us at Tropicana of what took place in Las Vegas with CON/AGG coming back after the last couple of years. It's once every 3 years, as you know. So March was a very strong month. January was also a strong month. February was okay. And we also benefited of course at Tropicana by virtue of having our database customers visiting the property this year, whereas last year that didn't start until really early May. So we benefited across the board. But RevPAR was strong at M Resort and Tropicana, a double-digit mid-teens at one property and strong single digits at the other property. 
Steven Wieczynski: Okay, got you. And the second question would be around Ohio. And just maybe, it look likes obviously Dayton and Columbus continued to do very well. But it seems like a lot of the strength in Ohio continues to come out of the tracks. Is there any way you guys can give us just your idea of what's driving such strong resorts -- such strong results out of those assets right now? 
Jay Snowden: Sure. I think, some of it is just the typical cycle. We've been open for 3 years, 4 years, and you learn the market, you learn the competition, you understand what motivates customers. And it's not always the same even in the same state, from one side of the state to the other. So we think Columbus is, I said this before, it's a deep market, it's a 2 million person population, about the size of Kansas City. It's going to be a growth market for us for a long, long time. Toledo, quite frankly, given all the road construction to our north really had a pretty solid quarter certainly on EBITDA margins, and we think that once the road construction subsides that property will be showing trends on the top line more similar to what we've been seeing out of Columbus in the last couple of quarters. And the racetracks are performing very, very well, double-digit top line growth and even stronger on the bottom line as margins continued to improve there as we rightsized the cost structure now that we've been open for a few years. So it's a little bit of everything, but I would say this is the typical cycle you see with newer properties. 
Timothy Wilmott: Steve, the only thing I'll add from Jay's comments in Youngstown year-over-year we have added more slot units because of the strength in that market. And even with that, I think we are up close to a 1,000, just under a 1,000 in Youngstown. In March of this year, we saw win per unit net of $320 or so. So we're still looking at Youngstown as an underpenetrated market and looking to potentially add more units there to continue to take advantage of the market characteristics. In Dayton as well as we are seeing very strong win per units and continuing to penetrate into the Dayton market. And as Jay said, we haven't hit year 3 yet, so it's the maturation of properties that have yet to realize their full maturity. 
Operator: And our next question comes from the line of David Katz from Telsey Advisory Group. 
David Katz: I will apologize upfront because I'm jumping back and forth between 2 calls this morning. So if I'm asking something you covered, I apologize. But a couple of questions. As I think about really surprising strength in the first quarter that even turned out to be better than what the pre-announcement was with 7 days to go in the quarter, and then I look at the guidance for the remainder of the year, I suppose we could have thought about a wide range of ways that you would guide for the remainder of the year. And I'm getting to sort of a mid-single-digit revenue and EBITDA addition to the guidance after the first quarter. And so, if you could just discuss a little bit more about how you thought about or how are you thinking about the remainder of the year and your visibility into it, I'd appreciate it, if you haven't already? 
William Fair: David, this is, B.J. I think there are 2 elements associated with it. One is to a certain extent resetting some of the prior year and, against, on a quarter-to-quarter basis. Last year, there were approximately just under $6 million -- $5.7 million of adjustments. The majority of that was actually the [ Caesars ] adjustments, which in this quarter is actually taking down our EBITDA, back then was increasing our EBITDA. And so if you take the [ Caesars ] adjustment out. And then the other element is if you take out the revenue that is associated to the Jamul staffing, which as we talked about last quarter is a 100% pass-through of just the cost coming through. I think, you really start to see that there is a year-over-year increase both in a margin basis, and then on the EBITDA basis as well. So there is also, as you take a look on the full quarter, we've increased both revenue as well as the overall EBITDA from -- on a full year basis. And then there is also incremental [ Caesars ] that were impacting the full year results as well. So, I think, when you pull -- when you adjust out the [ Caesars ] and then you take into consideration a flow-through of the 100% impact of the Jamul staffing, you really start to see the improvement on a year-over-year basis. 
Jay Snowden: Look, the only thing that I would add to B.J.'s comments is that -- look we beat by $17 million in the first quarter and we're guiding the remainder of the year $5.5 million, ahead of previous guidance. So it may be conservative. I would love to be with you 3 months from now saying that we were conservative in our guidance, but we thought it was a prudent thing to do. 3 months doesn't make a whole year trend. We're happy with our performance in the first quarter. We're optimistic about the remainder of the year, but didn't want to get ahead of ourselves. 
David Katz: I appreciate that given say the past couple of years where there have been some expectations that moved around. My second issue is, I assume that some of us have included the Tunica acquisitions ahead of their closing, but you've not in your guidance. But if you could just elaborate on the thought process around increasing your presence in that market, I mean, I think the accretion of it is fairly obvious, but how you thought about that as a long-term strategic opportunity versus the risk of over time that market perhaps being in decline and how you sort of risk-adjust and all that, and that's all I have. 
Timothy Wilmott: David, this is Tim. We, obviously, have a long history of performance in our memories of Tunica. We know exactly the market characteristics and what's happened there. However, this was such a compelling financial transaction for us to spend $44 million and purchase these 2 properties at a multiple under 4 pre-synergies with the expected -- expectation of the synergies being realized within year 1. Even with the expected decline of the Tunica market, this is going to be a very accretive transaction for our shareholders. And it was one even though the market we know is not robust, we could not pass up, and we think it's going to be something that will produce very, very good returns for the $44 million that we allocated. 
David Katz: If I can just follow that up in terms of how you -- what you see the opportunity for improvement with the property or do you think you can sort of run it in a stable way? And I suppose that's more of a Jay question. 
Jay Snowden: Yes, David. I mean from a revenue perspective, it would be more in the stable category. We think there's a lot of opportunity on the cost side of the business there as you create shared services between what is -- what'll ultimately be 3 operations in the same market. So marketing efficiencies, labor scheduling efficiencies, purchasing power, that those 2 properties don't have today. We're very optimistic in our ability to grow EBITDA. 
Operator: And our next question comes from the line of Felicia Hendrix with Barclays. 
Felicia Hendrix: Just a very quick follow up on Tunica. I'm just wondering if at some point you quantify the synergies or is it just something we'll kind of subtly see in your results? 
William Fair: We will be quantifying them. I think, as we -- part of the reason we didn't include it in the guidance and not only have we not closed yet, but as we get into it, there will be some time that we really need to understand what steps need to be taken and some of the potential costs associated with making some of those changes. So I think, by next quarter, we'll be in a position of definitely identifying what exactly we expect on a going forward basis and be including that in our revised guidance as well. 
Felicia Hendrix: Perfect, thanks. So can we -- I just wanted to talk about Charlestown for a second. The property has been performing better than our expectations, and I think based on prior conversations, obviously better than yours. Now that MGM has fully activated their marketing there, I'm just wondering have you seen any changes and just trying to get a feel for what the promotional environment looks like there? 
Jay Snowden: Sure, Felicia. It -- look it's still early. So it's very difficult to say what it's going to look like 3 months, 6 months from now. But we've got 4, 5 months under our belt. MGM has started to build their database and start to market to that database. And I think what you're seeing is that, that product is growing the market significantly. They've grown the market over 30%, which you just don't see these days. And, I think, that they've done it primarily on the table game side. Maryland Live!, I think, has held up pretty well. They are down low teens since MGM opened, we're down more in that 7%, 8%. And I'm sure, they're probably pleased with where they are at. We are certainly pleased with where we're at. And our relationship with our customers go back 15, 17, 20 years in some cases. So I think we're in a good place right now. And I think that for as long as MGM and it looks like they are hitting their numbers, or close to their numbers, and it's on the table game side, where as you know in Maryland there is a much more favorable tax rate. It's going to be a -- it's a deep market, it's a very affluent market and looks to me like all 3 of the big casinos or 4, if you include Horseshoe Baltimore, are probably happy with where they are at, and I'd imagine it will probably be a pretty rational environment. I don't see any reason why it wouldn't be. 
Felicia Hendrix: Great. That's helpful. And then just, Tim, maybe we can just talk about your Penn Interactive Ventures for a minute. With that ramping up by kind of becoming a bigger part of your other EBITDA line. I was just wondering if you could help us understand the expectations there and how we should think about that segment and if there is any plans in the future to help quantify that? 
Timothy Wilmott: Well, down the road, Felicia, clearly once it gets to be a little bit bigger piece of our business, we'll provide more clarity around Penn Interactive Ventures. We understand that obviously based on what Double Down was sold for, there is certainly valuation differences in that line of business than our traditional regional gaming line of business. We're not there yet. We want to continue to grow and look at additional potential tuck-in acquisitions there, like Rocket, and continue to grow organically our business and our relationship with Sci Games and other content providers using our database and also, obviously, Rocket's database of business. And it's going to continue to show year-over-year growth, and I wouldn't be surprised that in the not too distant future we'll provide more clarity as the business continues to ramp up. 
Felicia Hendrix: Okay, great. And then just finally, B.J., just back to Jamul, thank you for the color on that in the prepared remarks, that was helpful. Just getting back to the term C, you said that you'll come to a timely resolution of all issues. I was just hoping you could give some more details there. 
William Fair: I think that the discussions are really just beginning and so I think it's too preliminary to really -- to give any further clarification around that. 
Operator: And our next question comes from the line of Carlo Santarelli with Deutsche Bank. 
Carlo Santarelli: Just a quick one more on housekeeping than anything else. Because you guys kind of talked about the guidance range. And Jay, I think, you were fairly clear with the move in the $17 million incremental, which looks like the $12 million upside in the first quarter plus the $5 million from the stock compensation. Just to be clear with the new guidance, you're using the [ 221 ] reported number for the first quarter, right, as kind of your first quarter of the new guide with the [ 858 ] number for the year? 
Jay Snowden: Carlo, that is correct. 
Carlo Santarelli: Okay. Great. And then just on the -- your earlier comments as well, as it pertains to some of the costs and where costs could continue to be taken out of the business. In the work that you guys have done, are there any things that you could share with us at this point where you see some obvious, still low-hanging fruit, it's just a question of execution on it or have -- do you feel like most segments of the business have been pretty well kind of gone through. And I don't want to say picked over, but more or less you've executed on what you wanted to and now it's just kind of looking at little things here and there in the margin? 
Jay Snowden: Look, Carlo, we have executed over the last number of years on what we wanted to. We are just continuing to challenge ourselves on what that list contains. And there are still opportunities for us in a number of areas. I don't want to open the playbook to all of our competitors. But there are things that we're looking at with fresh eyes. The 3 major buckets, of course, are procurement, efficiency in our labor and scheduling, and marketing spends. But those are the big buckets, big dollars and sometimes it just -- it pays off to challenge the way you've done things in the past and we test a lot of ideas. And we're finding some success in the things that we're testing, that will be implemented in future quarters that we're very positive about. 
Operator: And our next question comes from the line of Shaun Kelley from Bank of America. 
Barry Jonas: This is Barry Jonas in for Shaun. Just a few questions. Stock's had a great run since you preannounced. Just curious how you're thinking about share repurchases at these levels. 
William Fair: I think that we'll continue to take a look at the share repurchase once we get out of the blackout range, really understand and assess whether we believe that the allocating capital to the share repurchase is going to be better than any of the tuck-in acquisitions opportunities or the delevering opportunities that we're looking at. And, I think it continues to be, as we look at what we believe, the overall value of the company is, how we're seeing the stock price against that and making determination at that time. 
Barry Jonas: Okay, great. And the next, can you maybe just give some general commentary about the promotional environment across the regions. It does seem between commentary and some results that net revenue growth seems to be outpacing state reported gross gaming revenue growth, so just looking for some general commentary there. 
Jay Snowden: Yes, not much new to share, Barry. It's been pretty rational across most markets. Biloxi is still somewhat elevated since Scarlet Pearl opened. But it's really the exception versus the norm. And, yes, you can see there's been really good flow-through from net revenue down to EBITDA and the net revenue composition is maybe a little atypical from past years where it's coming more on the non-gaming side. It's not being driven by promo allowances. It's good healthy cash business for food and beverage, hotel, retail and entertainment. And we had a very, very, very strong first quarter in Las Vegas on the non-gaming side, which is the bulk of that net revenue increase non-gaming. 
Barry Jonas: Great. And then last one from me. Just maybe a legislative update on Pennsylvania and your expectations around online and VLTs there? 
Timothy Wilmott: Eric, why don't you take that one. 
Eric Schippers: Sure. So not much has changed in terms of the legislative debates around the budget deficit in Pennsylvania and where they're projecting it's going to be $3 billion. The House is considering a huge menu of options, the Senate less so. iGaming is firmly in the mix on both sides. The key question around iGaming right now is focusing on the tax rate that would be applied. We're trying to knock down some sort of silly notion that you could have tax parity between iGaming and the slot machines, and that it could be a successful industry, and we're trying to convince them that if they do this, no one will sign up for it. And so we're spending a lot of time trying to educate legislators on that business. While at the same time, frankly fending off an effort by the state lottery to be the provider themselves. So a lot of fluidity there, there is still discussion as well around video gaming terminals in the bars and taverns. More so in the House than in the Senate. And there's some discussion around satellite facilities that would take the place of that concept. I would expect that you're going to see some of the discussions start to gel a little bit more this summer, in the June time frame. But until then, I think a lot of it's just going to be noise and posturing. 
Operator: And our next question comes from the line of Robert Shore with Wells Fargo. 
Robert Shore: I just had a couple of questions on operating expenses. When we think of operating expenses throughout the year, is there any seasonality to that business, where expenses kind of pick up as more kind of summer amenities are added on, just any way I can be thinking about operating expenses throughout the year? And also maybe anything specifically you can talk about -- to reduce cost, whether mailing promotions, anything maybe more specific you can talk about in terms of taking some cost out of the business would be great. 
Jay Snowden: Robert, I would say on your first question of operating expenses, the seasonality associated with it. This year I think will be a typical year. I don't anticipate there being any interruption in our normal flow of business, whether you're talking revenues or operating expenses. And then, I answered the question earlier with regards to our ability to continue to improve margins. It's not something I'm going to get into too much detail on the call. Don't want to share the playbook with the world. But we still have opportunities, we're focused, and we're going to get them done. 
Operator: And our next question comes from the line of Chad Beynon with Macquarie Group. 
Chad Beynon: Jay, I wanted to go back to your comment on spend per visit, you said a lot of growth in the first quarter came from that and on visitation. Can you help us think about where this is versus maybe prior quarters and prior years? Are we starting to potentially see an inflection point or if it hangs up at these levels, that alone would result in significant flow-through, just some overall color on that, please? 
Jay Snowden: Yes, Chad, it's a great question. It's probably a little too early for me to comment in terms of extrapolating what we saw in Q1 over the course of future quarters and years. But, yes, if you exclude Charles Town, we had the strongest same-store sales growth since Q1 of 2012. So strongest same-store sales growth in 5 years, and I feel good about that. And the strength was on spend per visit. Visitation was actually, I don't want to miss a state, but visitation was a good story in many of our markets, Ohio, Las Vegas, parts of the Midwest, St. Louis, Kansas City. Just not consistent, whereas spend for visit was strong everywhere. So yes, I'm encouraged by those trends. Strength was particularly seen at the VIP segment. And so when you're growing VIP and you're growing spend per visit, it's -- the flow-through is very healthy. Will that continue? We'll have to wait it out and see what the next couple of quarters present us. 
Chad Beynon: Okay. And then on Jamul. You said that has improved over the last couple of months as well. Do you think that's a function of the property just being open as long as it's been open, and word of mouth, maybe a reduction of some of your competitors in the market [ borrowing ] some business or just like I said players realizing the value in the service levels at your property, any color there would be helpful as well. 
Jay Snowden: Chad, listen it's all the above. Typical cycle, you have a great first month, your business falls off the following months, 2, 3 and 4 as you are building your database, you start to activate those customers through marketing efforts and reinvestment, and your business builds from there. So, as I mentioned in my opening comments, the database now is over 120,000. We'd like to get it to 140,000 to 150,000 by the end of this year. I think we will. And I think our revenues and our flow-through is going to continue to be a good story as we move through the remainder of the year. 
Operator: [Operator Instructions] And our next question comes from the line of Thomas Allen with Morgan Stanley. 
Thomas Allen: A couple of numbers questions. First on Tunica. If we were to include it in our models for the rest of the year, how should we think about the EBITDA given the seasonality? And then also, do you have incremental CapEx that you'll likely spend this year? 
Justin Sebastiano: Tom, this is Justin. So I would go back to the release when we announced the acquisition. It's $21 million for the year and you would just prorate it for when you believe we're going to close on the acquisition through the end of the year and that's the EBITDAR, and then we gave you the rent as well. So you would look at normal seasonality from just on Mississippi operations in general. I think, you can imply that as far as CapEx and we're not out there yet with that, but when we close and on the next quarter we'll talk through that we'll give you some more color. It's not a big number, they are pretty small operations. 
Thomas Allen: Okay. So probably around $8 million for Tunica EBITDA for the 8 months if you close on May 1. And then... 
Justin Sebastiano: If that's what your Excel tells you, then yes. 
Thomas Allen: And then just on the increased corporate expense, are you guys [indiscernible] $6 million. Is that all a function of cash-settled stock-based comp? And is the increase in the cash-settled stock-based comp just a function of your stock price has gone up a lot and this is how it's going to flow through? 
William Fair: The answer is yes and yes. 
Operator: There are no other questions at this time. I'll turn the call back over to you. 
Timothy Wilmott: Thank you, operator. I would like to, again, thank everyone, who are listening on the call. And, again, reiterate a very, very solid first quarter and all the things we're working on are producing the results that we expected when we got involved in these new business lines or in these tuck-in acquisitions. So with that, I look forward to speaking with all of you, again, as we have our second quarter call sometime in the late July, early August time period. Take care. 
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines. Have a great day.